Operator: Greetings and welcome to the Helios Technologies Third Quarter 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Tania Almond, Vice President of Investor Relations and Corporate Communications. Thank you. You may begin.
Tania Almond: Thank you, operator and good day everyone. Welcome to the Helios Technologies third quarter financial results conference call. We issued a press release announcing our results yesterday afternoon. If you do not have that release it is available on our website at hlio.com. You will also find slides there that will accompany our conversation today. On the line with me are Josef Matosevic, our President and Chief Executive Officer; and Sean Bagan, our Chief Financial Officer. They will review our third quarter results along with our updated outlook for the remainder of 2023. We will then open the call to your questions. If you turn to Slide 2 you will find our safe harbor statement. As you may be aware, we will make some forward-looking statements during this presentation and the Q&A session. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from where we are today. These risks and uncertainties and other factors have been provided in our latest 10-K filing as well as our upcoming 10-Q to be filed with the Securities and Exchange Commission. You can find these documents on our website or at sec.gov. I'll also point out that during today's call we will discuss some non-GAAP financial measures which we believe are useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of comparable GAAP with non-GAAP measures in the tables that accompany today's slides. Please reference Slide 3 through 6 now. With that, it's my pleasure to turn the call over to Josef.
Josef Matosevic: Tania, thank you and welcome to today's call. I want to take a moment to send our heartfelt sympathy to everyone being impacted by these new countries in the Middle East. We are all living through very tenuous time. Shifting to the business. Let me start by welcoming Sean to his first quarterly call with Helios. Sean joins us most recently from Polaris, where he spent 23 years advancing through their global rank. He has a proven track record of building growing and transforming global businesses into a highly productive and profitable operations. Sean has hit the ground running and is a great fit within our team and our company values. He joins us at a very important time as we faced a dramatic shift in the market dynamics this quarter. I would like to thank the Helios team for their tenacity in navigating these challenging conditions, while maintaining focus on our long-term goal. We saw positive trends starting this year. Last quarter signs of stalling started to show as we advanced through August and September they took a turn. As I noted on our last call, our near-term visibility is in fact less clear than our long-term outlook. EMEA shows signs of weakening before it improves. The US economy has packet of softness. The APAC recovery is taking longer than even in that region, especially China had expected. Our customers in the Americas, currently representing 55% of total revenue, are beginning to hesitate. Those customers are facing a less favorable environment for consumer spending and financial liquidity. This equates to what the Fed has been pushing for a slowed economy to turn down inflation. Given current conditions, we have been taking proactive actions to protect our margins by optimizing our cost structure while balancing our resources to deliver the part not service our customers have come to expect. Even with global macroeconomic and geopolitical uncertainty, I am confident our strategy is intact. While we manage through the short term, we must continue to lead and execute for the long term.  For the last several years, we have been methodically investing for growth. We are well positioned to be able to drive significant leverage across the top and bottom line, when the markets start to recover. We are encouraged with the progress we are making across several customer projects, we described last quarter. All these deals are still in place. The time line for decisions and some have been pushed out based on the macro. Those customers are facing near-term challenges, but remain opportunistic and committed. Most of these projects are currently expected to begin in 2024, and start to show contribution in the latter half of the year. We continue to demonstrate that our innovation and engineering excellence are paramount. For example, we recently announced two advanced new products from our Electronics segment both with initial customer examples. The first being the Power View P70 and most recently Climate Zone 2. We are also building on the value, our acquisitions bring to create revolutionary technology. We recently introduced remote support software by integrating i3 capabilities with its Signet support platform into our open TV software. Together, this creates a solution that will increase and due to satisfaction and loyalty, improve customer support and enable a recurring revenue stream to capture this added value. In fact, our i3 team has created a software platform for a commercial food service customer, who has added the software to thousands of their units. This same customer intends to also leverage the Signet platform, as it will connect directly with this new software. We are seeing traction with our new products and services. It has just been masked now by the macroeconomic impacts, I described.  I will now turn the call over to Sean, to review our financial results and updated outlook and then he will hand it back to me for some closing remarks. Sean, please.
Sean Bagan: Thank you, Josef and hello, everyone. I'm thrilled to be here. As most of you know, I joined Helios as CFO on August 9. In my first 87 days, I had the opportunity to visit all our major operations, while meeting a great number of our global team. I am impressed with the strength of our leadership, and believe we have the right strategy to continue to grow the business and leverage our diversification across markets, geographies and products. We have strong brands, leading market positions and expansive manufacturing capabilities. These span across processes that range from injection molding, deep processing, player harnessing, precision machining, through to circuit board printing. We are nimble and responsive and Helios has a culture of excellence grounded in a strong value system.  Combine this with our regional manufacturing capabilities, and low-cost operations and I believe it's clear, our strategy to innovate with integrated solutions including remote service through software systems, makes us very tough to follow.  We are starting from a very solid foundation from all the investments we have made as we further optimize our cost structure. This enables us to weather near-term challenges and be well positioned to capture compounding effects of driving leverage across our businesses as conditions improve. Let me start with a review of third quarter results talking to Slides 7 through 13. I believe the slides speak for themselves and provide quite a bit of detail, so I plan on hitting some key points and providing additional color. The surprise factor in our results for the quarter was most visible in the $26.2 million or 12% sequential sales decline from the second quarter of this year.  Demand in the third quarter reflected a rather swift change in dynamics, as certain customers across mobile, agriculture, marine, industrial and health and wellness end markets shifted gears and began pulling back orders and pushing out decisions. Given we have quite a bit of book and bill business, this readily impacted the third quarter. Every region was down sequentially this quarter, the exact opposite of what we saw in the first and second quarters. European markets were especially weak across both segments and were down 24% compared with the second quarter or $13.8 million more than half the total decline. The Americas were down 7% or $8.7 million sequentially, while APAC was up 8% or $3.7 million. The lower volume in the quarter heavily impacted gross profit and margin year-over-year and sequentially due to underabsorption. Gross profit declined $9.6 million and gross margin contracted 380 basis points year-over-year. While we had benefits from pricing and foreign exchange, it only partially offset the volume impact along with inflationary costs. Given the larger decline in volumes sequentially, gross profit was up $16.1 million from the trailing second quarter resulting in gross margin of 29.6%. The $6 million increase in SG&A expenses compared with Q3 2022, primarily relates to acquisitions, integration, higher wage and benefit costs along with increased R&D investments to maintain our leadership positions. As evidenced with our actual Q3 2023 sequential reduction of SDA expenses, we are executing plans to control overhead expenses while continuing to position the business for the opportunities we have to continue to diversify and grow. Adjusted EBITDA in the quarter of $35.6 million or 17.7% of sales reflects the impacts of volume and investments. Volume is significant for the business as our decremental margins run at about 40%. Our strategic plans are focused on improving our incrementals while reducing our decrementals. I see opportunity to leverage fixed costs as we gain new customers in new markets, while also continuing to gain efficiencies from our integrated manufacturing and operating strategy. Our effective tax rate in the third quarter was 30.5%, up 690 basis points from 23.6% in the prior year based on the mix of earnings in various jurisdictions. Diluted non-GAAP cash EPS of $0.44 in the quarter reflects the impacts I've discussed, as well as a $0.09 impact from higher interest expense compared with last year. Briefly by segment on Slide 12, you will find the third quarter review of our Hydraulics segment. Sales were up 1% over the prior year period, driven by sales to the Americas and some pricing. We estimate about $7.8 million in sales were delayed due to the supply chain shortages. This started to come down sequentially compared with last quarter. Sales declined to the mobile, industrial and agricultural end markets. Acquisitions added $11 million and there was $2.2 million favorable foreign exchange impact this quarter. Sequentially, hydraulics declined $20.4 million, driven by swift changes in the mobile, agriculture and industrial end markets. Notably, of those markets on a year-to-date basis, agriculture is still up, which only intensifies the degree of unexpected change in demand this quarter. The decline is readily seen by region, with EMEA being down $12.5 million quarter-over-quarter more than half of the overall decline. Gross profit declined $5.4 million year-over-year resulting in gross margin contracting 430 basis points as pricing and efficiencies were not able to offset flattish volume to differ margin profile of acquired businesses, restructuring costs and higher wage and benefit costs. Sequentially, gross profit was down $8.6 million, although gross margin contracted just 150 basis points. SCA expenses increased by $5.6 million year-over-year. This increase was driven by incremental SCA from acquisitions, as well as inflation with labor and operating costs and investments in R&D. Sequentially, SCA was unchanged. Please turn to slide 13 and we'll discuss the Electronics segment. Given its US sales concentration, there was no foreign currency impact in the quarter for the segment. Year-over-year, electronics sales declined $6.6 million or 9% and had about $3.4 million in sales play due to the supply chain. Marine, which has held fairly steady in sales every quarter for the last two years had a drop off this quarter impacting both the year-over-year and sequential comparisons. Notably, another category in our recreational market off-road vehicles mostly offset the decline in marine. This does validate our diversification strategy is working. This quarter, we broadly had so many markets impacted at once. Our diversification was not able to overcome the macro drag. Health and wellness was down over 20% year-over-year and 8% sequentially, but still up over 50% from the trough in the fourth quarter last year. Gross profit was up $4.2 million from lower volume, while gross margin contracted 320 basis points as pricing and efficiencies were not able to offset lower volume, higher material costs, restructuring costs, and reduced leverage of our fixed cost base. SCA expenses increased 22% compared with last year which included incremental SCA from acquisitions, increased personnel costs and investments in R&D. Sequentially, SCA grew 2%. Please turn to slide 14 for a review of our cash flow. We generated $11.8 million in adjusted cash from operations. Capex of $5.9 million was 3% of sales for the quarter, as investments in capacity expansion in North America and Asia are essentially complete and equipment purchased. Trailing 12-month adjusted free cash flow was $53.1 million with a conversion rate of 103%. Turning to slide 15. Even as we face headwinds, we have an extremely healthy balance sheet and the financial flexibility to execute our strategy for growth. Helio's track record of delivering exceptional margins drives its strong cash flow engine. Our capital allocation framework prioritizes dollar one to be invested back into the business to support new product development and operational efficiency. Our long-standing dividend is an important component to overall shareholder returns. Finally, we remain opportunistic on executing both flywheel and transformational acquisitions that fit strategically into the Helios portfolio. Cash and cash equivalents were $35.2 million providing us sufficient liquidity. Total liquidity at the end of the quarter was $219 million. We reduced debt by $4.6 million in the quarter and our net debt to adjusted EBITDA leverage ratio was 2.98 times ending the quarter. In summary, while our near-term outlook is less than expected from the start of the year to now, I am extremely encouraged with the underlying strength of our foundation and strategy of boundless white space of opportunity and the prospects around creating more discipline to prioritize investments that will produce shorter payback and higher returns. Turning to slide 16. We'll talk to our updated expectations for the remainder of the year. I will start by saying, we have an opportunity to further our discipline around financial forecasting processes through greater rigor of data analytics and leveraging the power of business intelligence. Our updated outlook considers the rather swift change in demand we experienced in the third quarter and the feedback we are receiving from our sales channels and customers. Having been abruptly impacted by global macroeconomic uncertainty and the resulting dynamic market conditions, we are modifying our outlook appropriately for the remainder of the year. We now expect revenue in the range of $820 million to $835 million, implying fourth quarter revenue of approximately $178 million to $193 million. With the decline in volume and the impact to margins, combined with continued disciplined investments, we are moderating our adjusted EBITDA targets for this year to $152 million to $167 million. I believe our business can support delivering mid-20 and better adjusted EBITDA margin over time with sufficient volume. In the near term, our focus is on executing our long-term strategy, while protecting margins and controlling expenses in our operations. We have several significant projects underway that should start to materialize in more meaningful ways later in 2024 and built through 2025. Though we expect with current market conditions, 2024 will start off slower than we had earlier anticipated. Like my experience at Polaris, where I was involved in the growth of the company from $1 billion to nearly $10 billion, I believe that as Helios continues to execute on our solid strategy while improving our processes and systems, we can grow well beyond the next milestone of $1 billion in revenue. While the near term has macro headwinds, Helios is positioned well to weather these market fluctuations with its expansive end markets, innovative products, diversified geographies, leading market positions, strong brands and extensive manufacturing capabilities. We have significant potential and our long-term future is very bright. So let me turn it back to Josef, who will reference slide 17 to 18.
Josef Matosevic: Thank you very much, Sean. Again, we are very happy to have you on the team. It's a certainly interesting time. When I look at what Helios has been able to accomplish together over the last three-plus years, I am incredibly proud of the team's hard work and dedication. You can see from the last couple of slides, we have a great foundation of established step level growth that we are building from financing back to 2019 going into 2020 when the pandemic started and there was a market pullback no one knew exactly what could be accomplished in the near term. You can see how much we have grown since then. We are so much better positioned today from all the investments we have been making in the last several years. This is why I'm more excited today than I have ever been thinking about our ability to jump off with the next step on the growth care. When you think about how we have been transforming into an integrated operating company, it could start to generate recurring software sales as early as next year that is really true transformation. We have a great future in front of us. We will navigate through this just as we have got through the pandemic. We have a proven strategy, a dedicated team and are excited to keep driving total goal every day. With that, let's open up top up the lines for Q&A please.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Chris Moore with CJS Securities. Please go ahead, sir.
Chris Moore: Hey. Good morning, guys. Thanks for taking a few questions. Maybe you could just provide some more thoughts on 2024. It sounds like the large deals you're working on aren't lost they've been pushed but maybe just a little bit more how you're thinking about 2024 at this stage.
Josef Matosevic: Hey. Good morning, Chris. Look this is probably the key part to understand about our story right now. So we are getting in front of these large OEMs. And we have been bidding on deals that we have never had the chance to bid before and you see the shift in our mix of OEM business. In Q2, it was up 61%. In Q3 declined 53%, which was reflected in our results. And as we saw the broad macro, impact us across all of our end markets including ags, especially in the marine health and wellness industry it's kind of what you saw here in Q3. On the other hand, we grew in absolute dollars sequentially in the distributor and integrated channel. So back to your question, the size of those OEM deals that we are bidding on are bigger than we have ever could have imagined at the beginning and they are clearly still in play and have not been canceled and we continue to work with those customers hand-in-hand in pretty much everything we have said from day number one. When you get invited to the table, with those OEMs you've got to have the right products. You've got to have the technology and differentiation and you got to have most importantly, the capacity and the processes and systems of taking feel touch it before you even get the final signature on the paper. Combined with our regional approach in manufacturing, it makes us really a good candidate. So we are building out our center of excellence for maximum leverage is ultimately also have a margin improvement. This has been a very methodical step-by-step approach that we have been constructing now for over two years, and we certainly expect that this will play out exactly how we have structured. There's really no indicators that tell us that, it will not and once we are expecting it becomes just a very sticky relationship building up on the core foundation that we have developed over the last years. So look we are like everyone else somewhat frustrated by the macro environment right now. But unless we think then the world is going to end tomorrow we're going to stay laser-focused on investing in our future and execute on those deals and protect our business. The scope of those deals Chris is expanding pretty much day by day, as additional customers have learned of our capability, our flywheel acquisitions have contributed towards making this stickiness even stronger. We had to invest in additional talent and engineering and that explains the investment portfolio in capacity and SCA, and we don't want to cut into this because we are within literally finishing stages of those deals. So, key message being here stay the course with us. We continue to be extremely confident that we will execute our strategy.
Chris Moore: Got it. Extremely helpful. Thanks, Josef. Maybe just one follow-up. So it's interesting how broad-based the decline was in kind of how quick that you saw that downturn. As you mentioned, OEMs were I don't know 61% of Q2. So as you kind of become more and more focused on the OEM route is that where you saw that quick decline was the OEM's ability to make a quick decision and pull back versus on the distribution side?
Josef Matosevic: That is correct. And largely on the marine sector and recreational and health and wellness. And then we saw also a pulling back in Europe and in North America too.
Chris Moore: Got it. So I would guess longer term that means quarters could be a bit more lumpier because of the OEM focus, but the flip side obviously is there as well in terms of the quicker decisions on the positive. So, I will leave it there. I appreciate it.
Josef Matosevic: Thank you, Chris.
Tania Almond: Thanks, Chris.
Operator: Our next question comes from Jon Braatz with Kansas City Capital. Please proceed with your question.
Jon Braatz: Josef, when you look at the projects that are upcoming in 2024 or late 2024 maybe in 2025 are they more in the consumer markets versus the industrial markets? How can you parse that out for us?
Josef Matosevic: Good morning, Jon. So all of them are really in the industrial commercial markets it's where we are focused largely OEM system sales. So the story that we have been excited to tell over the last two years. It starts with a proprietary technology on the manifold side. And then it goes through the cavity and then you build up that manifold system into something much bigger and larger and then you add electrification to that. And as you know, you can't really put any other products and our products once you pectin. So we continue the notion that has been developed many years ago in the industrial commercial applications very nichey, just much more content over time.
John Brass: Okay.
Tania Almond: John, I'll just add. I wanted to add there were quite a variety of different end markets. So when we look across whether it's food service or construction or so when we look across all of these deals, we're really starting to see that diversification that we've been trying to foster continuing to blossom there as well.
John Brass: Okay. Thank you. And one last question in your commentary obviously, your results have been affected as you said by the macroeconomic conditions. And also, you said geopolitical issues, and two things. Number one, can you -- is there anything -- it's probably difficult to parse out, but is there anything specific to the geopolitical things that we're seeing that have directly affected your revenues? And then also the conflict in the Mid East was more of a late third quarter item. Have you seen any impact from what we're seeing in the Mid East here in the fourth quarter?
Josef Matosevic: This comment was more relating to John. We still have shipments to spend that obviously into the Russian markets that we previously had. And then there is quite a bit of still stands still on some orders that should have come. Folks has been a little bit more cautious in waiting on the sidelines, placing some of the orders that we anticipated to come in Q3 and waiting out what's going to happen here if anything at all but nothing directly specific to the Middle East.
John Brass: Okay. Thank you.
Josef Matosevic: Thanks, John.
Tania Almond: Thanks, John.
Operator: Our next question comes from Jeff Hammond with KeyBanc Capital Markets. Please proceed with your question.
Jeff Hammond: Hey, good morning, everyone. John, welcome aboard.
Tania Almond: Good morning, Jeff.
Josef Matosevic: Thank you.
Jeff Hammond: So I'm just trying to get a better read on what's destocking and what's real weakening demand? And I think you made a comment around the fourth quarter that you still assume that inventories are high. Like what are your customers telling you about the level of destock and where inventories are and when you think you get through some of the destock?
Josef Matosevic: Yeah. Good morning, Jeff. So we just had a pretty large meeting with our distribution channel just over the last two weeks ago and touched the top 25. And clearly, Sean can probably add a little bit more commentary too because he was with me. Clearly, we are seeing the inventory coming down. Is it coming down to the levels that they're getting ready to place large orders, not quite yet. But when you look at the trend what's transpired, Sean I believe you went from 13% reduction to 6% to 3% to 2%. So it's clearly going in the right direction. It gives us a level of insurance against that inventories that are pulling back so there's continuing to flow but way not at the level Jeff we saw a year ago.
Sean Bagan: Yeah. And the only thing I'd add Jeff too is just sequentially, we continue to see an increase here in the third quarter in that distributor channel. And so directionally, where the inventory levels are at and the experience that we saw of our sales in the third quarter gives us some confidence that there could be some opportunities to start replenishing that channel.
Jeff Hammond: Okay. Can you just talk about the linearity through the quarter? I think you said, July was okay and then it tailed off and then maybe just comment on October. We've heard from some companies where they saw August, September softness and then maybe lifted its head in October. I'm not sure if you're seeing that.
Josef Matosevic: Yeah. So we communicated in Q2, Jeff, it actually was not a still a quarter, but it was still pretty decent for us. And then we got into August and start seeing the marine segment pulling back and then there was a sharp decline at the beginning of September, and then pretty much fell off the cliff up to 40%, 37%, 40 percentile. So between the marine recreational and health and wellness still not recovering. There was the compounding effect that we saw and a direct result of the margin impact that we experienced here, but other than that and following that was some ag decline in Europe that was not substantial though. The largest piece was in the marine recreational and health and wellness.
Jeff Hammond: Okay. And then just Sean, I think you talked about controlling decrementals and I'm just wondering, how you're thinking about balancing cost control and managing the decrementals on the downside versus some of these investments and capacity adds that you need to move forward with or you want to move forward with?
Sean Bagan: Yeah. Thanks for the question, Jeff. I think for me as I look at the capacity, it was important that we get that capacity in place as we're continuing to try and secure some of these larger OEM system sales and we need to demonstrate that we have that. When we look at the cost control side of things, we did a nice job in the third quarter reacting swiftly when we saw some of the volume coming down. We're not going to get the full effect. You won't see that in the third quarter. But as we get into the fourth quarter, you'll see the full effect of those very targeted savings. Now I would tell you we did not cut into R&D, because that's the lifeblood of this company. But when you look at our run rate of our operating expenses despite some acquisitions that we've done this year will be relatively flat relative to the fourth quarter last year, which that was the highest quarter of OpEx last year.
Jeff Hammond: Okay. Appreciate it.
Tania Almond: Thanks, Jeff.
Operator: Our next question comes from Mig Dobre with Baird. Please proceed with your question.
Mig Dobre: Yes. Thank you. I want to put a finer point on the discussion here and maybe focus on things at segment level. So if we're looking at your Hydraulics segment, obviously, we don't have big health and wellness and marine and all of that exposure there. The ag softness, I don't know that that's terribly surprising given what the OEMs are going through right now. So that -- at least to me that part makes sense. I'm just, sort of, curious on mobile and industrial, because you talked about emerging softness there as well. And related to this, I'm curious as to how you think about your Americas portion of the Hydraulics business specifically, because organically this business has declined now for two quarters in a row. And I'm curious as to what's embedded in the guidance for the fourth quarter specifically?
Josef Matosevic: Good morning, Mig, in particular to the North American piece and to answer your question specifically above and beyond some of the market softness, we also had an internal path here too and this in relates to standing up the center of excellence in North America. Again it supports and will support the new incoming business and as we transfer products from [Indiscernible] into Indiana in terms demand from $25 million, $30 million in just shy of $200 million business. We had a couple of little tumbles here. As you can imagine when you move so much product and then you rely on a lot of outside contract does we put a brand new building up. So we probably missed around $7 million to $10 million in revenue which is now in our backlog. Playing this forward where we're sitting now that fumble has been recovered. We are at a run rate now actually a little bit better than the sound run rate used to be and we should be truing up the backlog here between now and the next couple of three months, but there was another contributor that you saw specific to Helios here and our demand.
Mig Dobre: But in terms of your comment for mobile and for industrial end market softening. I'm trying to understand your perspective there because at least from what I've heard thus far this earnings season on the construction side there doesn't seem to be any production cuts unless I'm mistaken, please correct me. And maybe the same thing with industrial as well. That I can see but it's the other part that I find surprising. So can you comment at all on that?
Josef Matosevic: Yes. Look Mig, I mean looking at the chart now and all the numbers too and at least in the markets we are participating in -- I mean you know well enough that we are a pure-play hydraulic and electronics. We don't commingle in anything else. So they communicated it's exactly what is going on. I mean is a temporary pullback here after orders been canceled? No but the market has slightly pulled back. Sean, do you want to add to this.
Sean Bagan: Yes. Mig, it's Sean I would just highlight specific to the Hydraulics segment when we look at it I mean certainly it's that construction piece of the mobile so the lighter construction type vehicles. And then in the industrial side or the industrial machinery that we saw the most severe year-over-year decline. So that's where the pressure points are at. But there are pockets that were up as well. I mean oil and gas renewable energy kind of what you hear more of the macro theme. So it was certainly mix but there was more to the downside throughout the third quarter.
Mig Dobre: Okay. In Electronics, I guess, you talked about the health and wellness and the marine portion of the business seen some pressure. When I'm kind of looking at your implied guidance for the fourth quarter it's got revenues maybe stepping down sequentially down to call it like $55 million. Is this the sort of run rate that you think carries into 2024? Because that would be I mean this run rate would basically be consistent with the prior year when you were experiencing pretty significant destocking in your health and wellness business.
Sean Bagan: So Mig, can you clarify did you say $55 million sequential reduction?
Mig Dobre: No sequential reduction that the implied revenue for the fourth quarter in electronics is $55 million. And I'm curious if you think of that as being a run rate into 2024? Or do you think that -- I mean is there something that's temporary in terms of stock impacting the fourth quarter specifically? Or is this sort of where the new sort of demand run rate on a go-forward basis?
Sean Bagan: Yes. No, I would not say it's a new run rate. I think you got two dynamics there. When you think of the Electronics segment speaking to innovation controls there's been more near-term headwinds particularly the marine space. I think when you look at that business as we head into 2024 it will be a tough start to the year but we would expect that to recover as the year goes on. From a BELBOA perspective as you know last fourth quarter it kind of was the trough had a nice first half and then the third quarter kind of declined a bit. But we clearly see that business on the up. We're seeing order rates continue to increase. So I would not say that's the new norm. But you're correct in terms of kind of the fourth quarter implied guidance in that kind of $55 million to $60 million range relative to the third quarter where it was a little bit higher than that.
Mig Dobre: Okay. My last question is really on how you're planning on addressing all of this from a cost perspective because obviously the environment has changed for you. Decremental margins were high in the third quarter. The implied decremental margins in the fourth quarter are once again by my math north of 100%. So I'm sort of curious as to where exactly are you tweaking and what the carryover from savings would be into 2024. thank you.
Josef Matosevic : Yes. Mig, look we are very focused on bringing those deals across the finish lane and holding on to our engineering and R&D. So on the people side, we're going to need those folks that we invested in and trained to rented production as we onboard those new customers we have taken countries discipline here in terms of cost control and controllable expenses travel and looking at many other areas and trade shows and what have you. But we believe as it stands today again, if the world does need tomorrow that those deals will pay back and we shouldn't have this conversation much longer. So Sean I don't know maybe you can add your perspective.
Sean Bagan : Yes. I think Josef to hit that right on. If you think about the cost structure of the company certainly up in our cost of goods sold section some of the measures in the near term is where we have the excess capacity. We're taking the opportunity over the holidays to shut down a couple of extra days save a little bit on overhead expenses. But really as I kind of tried to highlight on the operation our operating expenses sequentially we'll be down a couple of million dollars from where our run rate has been in the first three quarters. So you're really going to see the benefit of the actions, we took here in the third quarter as we saw the slowdown come in. Now we're -- when I look at the cost structure and you look at the fixed versus variable costs really looking at a third element to highlight what's flexible. So those are the opportunities to defer some things because again we want to be mindful and not cut too deep into our muscle where when this volume comes back as you highlight the decrementals the incrementals are going to flow really nicely and then we can lever back up the OpEx to support the goal.
Mig Dobre: Okay. Thank you.
Operator: Thanks, Mig. [Operator Instructions]. Our next question comes from Nathan Jones with Stifel. Please proceed with your question.
Nathan Jones : Good morning everyone.
Josef Matosevic : Hi, Nathan.
Sean Bagan : Hi, Nathan.
Nathan Jones : A few follow-ups to some of Mirc's questions here. Starting off with these large contracts and the capacity additions you guys are pretty confident those are going to get signed in the third quarter and that volume was going to I guess start in the first half of 2024. It sounds like that's pushed out to the second half of 2024. The capacity additions have been added. So there's increased fixed cost there that's going unabsorbed at the moment. Maybe some more color around why those contracts didn't get signed in the third quarter as planned. What kind of guarantees or commitments you had from those customers in order to go and put that capacity in or whether that was calculated risk to demonstrate your ability to deliver on volume without commitments in hand from those customers? Just any current expectations for when we might see these things actually debt side?
Josef Matosevic: Yes. So, Nathan, once again the customers that we have been communicating to our investors including all of you those deals are well, well in the play and we expect to sign those deals based on what we have communicated there hadn't been no change. We have some ownership in this as well as we have assumed the capacity in many areas to be completed sooner but due to supply chain challenges, due to equipment challenges, due to many other issues as you stand up new processes those are not the same processes that we have those in addition to. So, you're mixing a hydroelectric operation and you got to stand it up in the right way and having been an operator for 27 years, we got to make sure we stand it up in the right way so we can come out of the gate swing with the cost structure and the margin that we want. So, not to deviate from your question, but we certainly are on track to lock in those deals. This current macro pullback it didn't help in terms of the timing but there is really no indication that we are too far down the road with these customers we have been working with. And one of them is literally in the 99 percentile now so that is the best I can I can say right down at without overcommitting and the delivering I guess.
Sean Bagan: Yes. I can add I'm sorry go ahead.
Nathan Jones: No go ahead.
Sean Bagan: I was just going to reference your capacity question too and the headwind you had had from the expense. And I know we had it in our materials but if you look at the major expansions in our Electronics segment that's certainly in our Tijuana factory for the Balboa business, but also with some of the moves of the innovation control manufacturing there. And it opens us up to significant more opportunities to bring in more business I'd highlight wire harnessing as a key one. That really isn't going to affect us too much here this year because we're just bringing that onboard here in the fourth quarter and we will expect to fully have enough volume next year for that to pay back in terms of covering the additional overhead and depreciation. When you look at the Hydraulics segment, particularly over in Europe, what Fasteners doing, I was just over there with Josef last month. And what we're doing there from an efficiency perspective is really impressive between the automated warehousing and additional one we'll be putting in place next year. So that will quickly pay with the volume that we're going to be able to take on. And then lastly, with the Mishawaka, Sarasota Florida move that Josef referenced as well. When you think about that it was really more of a space expanding 50,000 square feet, but it was moving equipment from both Florida and Ohio into there. And so there isn't much of a drag and we will completely start earning that back in 2024 as that volume pushes through that. So the headwinds from the expansions aren't as significant as they may appear, when you look at just the pure square footage.
Q – Nathan Jones: Okay. Just following up there, Josef. I mean I think you said, you have some ownership of this as well. And it sounds like potentially here there are milestones that you need to hit before the customer will commit to these contracts and then maybe hitting those milestones slipped out of the third quarter and that was more behind what the delay in signing these contracts is?
Josef Matosevic: There was a couple of things, Nathan. So one is finishing that capacity and what I mean by that it's not just putting the building up or putting the expansion up, but setting up the equipment setting up the automation, setting up the processes, training the people. This is a complete different process. We are no longer talking about commodity. We're talking about a system. And that system debt training that comes with the testing that comes with it, I read that way a couple three, four weeks longer and get it right versus started launching this and fumble there could be very costly. So we're not going to do that. So that's one ownership and the other ownership is just the fixed contractual obligation, how to price that product accordingly over the next three five years and then the following model change, because when you expect in you expect in. So we are not talking about one piece of business Nathan, we're talking about a full system. And we don't have a straightforward application. We are highly specified complex product operation that allows us to charge accordingly.
Tania Almond: And Nathan, I would just add I think what Josef is describing is obviously, each one of these deals with all of these very large OEMs are very customized applications and all of these different facets of pulling these systems together have to be customized and very unique to the situation. So it's just a much more complex process, as we are evolving into this new model. So it just takes more time.
Q – Nathan Jones: And do you have commitments from these customers that once all of these processes are stood up and you can demonstrate that you can produce the products and they work that they will commit volume to Helios.
Josef Matosevic: I think we do.
Q – Nathan Jones: Okay. Thanks very much for taking the questions. 
Tania Almond: Thank you, Nathan
Josef Matosevic: Thank you, Nathan
Operator: There are no further questions at this time. I would now like to turn the floor back over to Tania Almond for closing comments.
Tania Almond: Thank you very much everyone for joining us today. We appreciate your interest and continued support of Helios and look forward to updating you on our fourth quarter results in February. We will be attending a number of investor conferences between now and the end of the year. So we look forward to seeing you, out on the road. Please feel free to reach out to me with any follow-up questions. Have a great day. Take care.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.